Operator: Good day ladies and gentlemen and welcome to the Q4 2013 Ameresco, Inc. Earnings Conference Call. My name is Morris and I will be your operator for today. At this time all participants are in listen-only mode. We will conduct a question-and-answer session toward the end of this conference. (Operator Instructions). As a reminder this call is being recorded for replay purposes and now I’d like to turn the call over to Suzanne Messere, Director of Investor Relations. Please proceed ma’am.
Suzanne Messere: Thank you Morris and good morning everyone. Thank you for joining us today for Ameresco's fourth quarter and full year 2013 earnings conference call. I'm joined today by George Sakellaris, Ameresco's Chairman, President and Chief Executive Officer; and Andrew Spence, the company's Chief Financial Officer. On today's call, management will share brief highlights from the prepared remarks we published this morning. Following the brief highlights from the quarter and the year, management will take questions from the audience. Before I turn the call over to George and Andrew, I would like to make a brief statement regarding forward-looking remarks. Today's call contains forward-looking information regarding future events and the future financial performance of the company. Ameresco cautions you that such statements are just predictions, and actual results may differ materially as a result of risks and uncertainties that pertain to our business. Ameresco refers you to the company's press release issued this morning and its Annual Report on Form 10-K, filed with the SEC on March 18, 2013 which discusses important factors that could cause actual results to differ materially from those contained in the company's projections or forward-looking statements. Ameresco assumes no obligation to revise any forward-looking statements made on today's call. In addition, the company will be referring to non-GAAP financial measures during this call. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. A GAAP to non-GAAP reconciliation, as well as an explanation behind the use of non-GAAP financial measures, is available in our press release, as well as our prepared remarks. I will now turn the call over to George Sakellaris. George?
George Sakellaris: Thank you, Suzanne. And good morning, everyone. Results for the fourth quarter were mixed. While revenues were in line with our revised expectations, gross profit and the earnings were not. As expected, fourth quarter revenues improved approximately $33 million from the sale of six renewable energy plants, which were substantially completed during the quarter; strong year-over-year growth from Federal, Canada and the northwest region and approximately 7% growth from our all other service offerings. Fourth quarter gross profit and earnings were materially affected by the gross margin realized on the sale of the six renewable energy plants, which was below our expectations. We also did not realize the expected benefit from a number of project closeouts during the quarter. And further, we experienced a handful of project costs overruns and a customer warranty issue. Our fully contracted backlog as of the end of the year was essentially flat at $362 million. We did not see the substantial improvement that we were expecting as we continued to experience delays in converting awarded projects to signed contract. The weighted average conversion time of an awarded project to a signed contract in the fourth quarter was 12 months. While this is a welcome improvement is more indicative though of fewer signed contracts than anticipated during the quarter and a lower than average project size compared to the historical average. The weighted average conversion time for the full year of 2013 was 16 months. Market conditions continued to be challenging, while some of our regions and the Federal segments appear to have reached bottom, we have not observed a sustained improvement or an indication that would suggest to us that we are approaching a near-term inflection point. In the meantime we have continued to diversify our exposure to energy efficiency projects, through an increase in revenue streams from annuity based revenues and other energy services offerings which has helped offset the effect of current market conditions in our core business. For example, during 2013 we broadened our service offering by adopting renewable energy business move throughout the company. We expanded our footprint into the United Kingdom with the ESP acquisition. We invested in enhancing our value proposition through an analytic solution. And we made progress in diversifying our customer mix. And now I would like to turn the call over to Andrew our Chief Financial Officer, who can provide more details about our financial results.
Andrew Spence: Thank you very much, George and good morning, everyone. The financial highlights from the quarter and the year are as follows: Revenues for the fourth quarter increased 12%, the primary driver of the revenue increase was the sale of six renewable energy plants. Gross profit for the fourth quarter decreased from $43 million in 2012 to $28 million in 2013. The primary reasons were an unfavorable mix of lower margin renewable energy projects and cost overruns. Fourth quarter operating income decreased to $3 million in 2013. Lower gross profit more than offset a year-over-year decrease in selling, general and administrative expenses. Fourth quarter adjusted EBITDA and net income decreased for similar reasons. Fourth quarter 2013 net income per diluted share was $0.03 compared to $0.11 for 2012. For the full year, revenues decreased 9%, a 15% year-over-year decrease in project revenues related to delays caused by market conditions more than offset a 7% increase from our all other service offerings. Full year adjusted EBITDA decreased to $30 million in 2013. Adjusted EBITDA excluded depreciation of $13 million related to project assets and $3 million for property and equipment. Full year net income for diluted share was $0.05 compared to $0.40 a year ago. The full year effective tax rate for 2013 was 12.5%. We expect the effective tax rate in 2014 to be around 19%. Adjusted free cash flow, a non-GAAP financial measure is $23 million for the year which includes $40 million in proceeds from U.S. Federal ESPC projects. Our net investment in renewable energy project assets was $25 million in 2013. In light of our recent results, we have amended our senior secured credit facility to wave the minimum EBITDA requirement for 2013 and to modify that minimum amount as well as financial ratios related to EBITDA during 2014 to accommodate the lagging affect of the 2013 results on those requirements. We ended the year with the fully-contracted backlog of $362 million. During the fourth quarter we converted approximately $125 million of awards to signed contracts and revenue generated from backlog was approximately $129 million. In 2013, we started the year with $367 million in fully-contracted backlog; of that, $205 million was converted to revenue during the year. In addition a $183 million from pipeline converted to contracted backlog and contributed to revenue. The remaining $186 million on revenue came from all other service offerings. Revenues from all other service offerings increased 7% year-over-year. We expect those revenues to increase 6% in 2014. Revenue from small-scale infrastructure increased by 6% year-over-year. Of the four renewable energy plants that were delayed, two of the plants have already been placed into operation. The other two are expected to go into operations before the end of the second quarter. As a result, revenue from small-scale infrastructure is expected to increase more than 20% in 2014. Revenue from integrated-PV increased by 8%, year-over-year. We established two distribution centers and added new sales people to expand our presence on the East Coast. We expect integrated-PV revenues to increase approximately 10% in 2014. O&M revenue increased more than 10% year-over-year. The increase was primarily due to scheduled maintenance that occurs every few years. We are expecting 2014 O&M revenues to be consistent with 2013. And with that I’ll turn the discussion back to George.
George Sakellaris: Thank you, Andrew. Ameresco expects to earn total revenue in the range of $560 million to $600 million in 2014. The company also expects net income to be in the range of $7 million to $12 million. Our assumptions for 2014 guidance are as follows: Project revenues from contracted backlog of approximately $210 million; project revenues from awarded projects and proposals in the range of $160 million to $185 million; and the remainder of revenues from all other service offerings; as Andrew pointed out earlier, gross margin in the range of 18% to 20%; and an effective income tax rate of 19%. We expect the challenging market conditions to continue in 2014. Using the same backlog analysis for 2013, 2014 revenues are expected to be consistent with those of 2013. Operating efficiency measures that we have taken should improve profitability. We expect typical seasonality in 2014, which means that our results should be heavily weighted towards the third and fourth quarters. In closing, we remain confident about the long-term industry fundamentals. We believe that the market still has tremendous potential and we are determined to unlock that potential, while gaining market share. In addition to delivering 2014 results, we continue to focus on broadening our service offering, refining our value proposition and diversifying our customer mix. We also plan to be more disciplined in execution, which means concentrating our resources on awarded projects as they are most likely to convert in a timely manner, also tighter controls in engineering and specifications, better risk management and increased oversight. We expect all of these actions to enhance our market position and improve the delivery and quality of our offering. A rising industry trend has been gaining momentum is on-site generation. We believe that we are well positioned to take advantage of this trend based upon recent developments. We demonstrated that selling renewable assets is a scalable model; we received a project award for an 18.6 megawatt solar installation at Fort Detrick; also we were selected as one of the pre-qualified firms that can participate in the U.S. Army’s $21 billion MATOC, IDIQ renewable energy programs specifically for solar, wind and biomass. For the long-term, we believe that over the course of 2014, we will make great progress towards positioning ourselves as the trusted sustainability partner for our customers. We can transform an industry that still has tremendous potential. And further, our efforts will generate great value for all our stakeholders and that is of course customers, employees, and shareholders. Now we would like to answer your questions. And I will turn the call back to our coordinator, Morris.
Operator: Thank you. (Operator Instructions). Your first question comes from the line of Craig Irwin with Wedbush Securities. Please proceed.
Craig Irwin - Wedbush Securities: Thank you, and good morning.
George Sakellaris: Good morning.
Craig Irwin - Wedbush Securities : George, when I look at your guidance, your revenue guidance in particular for this year, your construction backlog is pretty much flat year-over-year. You’re guiding for some of your non-construction revenue to be growing modestly. But then, versus where we were a year ago, you’re giving materially more conservative revenue guidance. Can you clarify for us if this is really a reflection of the slowness that you’ve seen as far as project completions and final project releases, or is this a change in the character of the backlog or potentially a change in duration of the construction backlog that you are looking at for 2014?
George Sakellaris: That’s a very good question. We are trying to be as realistic as possible, based on what we know in the marketplace. And I think it’s represented to the fact that the conversion time is more of the slowness, the conversion of all the projects to execute at contracts which we can build out. And since the market conditions overall, we feel they are the same as they were in 2013, they haven’t improved that much and we anticipated the same, at least for the next few quarters. That’s why we try to be realistic and say well, we have similar backlog, executed backlog that we had last year, okay, the overall revenues, they are slightly up [mostly] from the offerings, but everything else is relatively the same. So, we don’t have anything that will tell us we should forecast differently. So we say, we should -- that’s why I said, will be consistent, 2014 will be more likely consistent with 2013. And the biggest driver, we are going to put more and more focus until we see something else developing down the road because of the metrics that we used to use before, if it was an awarded project x amount, we will convert for that particular year and we will be able to execute them, but just drastically change from the past. So we try to focus much, much more on what’s executed backlog. And that’s why, I say we’re trying to make every effort that we can to increase the annuity based revenues and the other offerings and diversify the mix of our business, so we are not as dependent on what I will call the [mush] market as a long term.
Craig Irwin - Wedbush Securities: Thank you. My next question is about the results from the quarter. So, you mentioned the $33 million in renewable projects weighing on the quarter a little bit along with some cost overruns. Could you breakout for us the relative contribution from each of these items to the margin weakness and the relative shortfall on the quarter on the profit line? And then maybe could you explain for us a little bit more about the $33 million some projects, [if these were] projects that you built on your own balance sheet and then sold, and if that was the case, why sell them given that there is potential we could see MLP eligibility for this things at some point over the next handful of quarters?
George Sakellaris: That is very good. The projects, there were six projects basically and all of them we were -- they were in Massachusetts. We were planning and even though we hold some, and we have in the past and we will continue to do that. If you remember, on the calls I say that periodically, we will be expanding the business model where we built those projects for others. And these projects were intended to be sold all along. And what’s happened though, I think we lost (inaudible) more specific, little bit of the three clients and the margin that we were anticipating to get from those particular projects. And some of them, we did probably less than half on the total volume size, we build them on our balance sheet and the rest of them actually we had the buy as soon as we actually get the contract to build that particular project out, which was the largest one. So, and you will see and if you recall, when we acquired APS that’s in Phoenix, Arizona, over 50% of their business was coming from the [vacated] built in solar projects for others. And we wanted to expand that particular business model for the rest of the company and that’s one of the things that attracted us to that particular acquisition. And what’s going on in the marketplace, actually we see a great, great opportunity to accelerate our growth, take advantage of that business line. And we hope we would be very successful there.
Andrew Spence: Just to clarify Craig, these assets, these renewable assets that we sold in Q4, we did construct them before we sold them, but these were assets that we developed for the purpose of selling to a third-party, they were never part of our asset portfolio.
Craig Irwin - Wedbush Securities: Understood. Thanks.
George Sakellaris: And then the other ones, the cost overruns that hit us in the warranty issue, between all of them I would say it’s well over $3 million and [APS has won] couple of them, I would say that weak engineering and sometimes we can speak with our gut feeling and one of them it came to an acquisition and when they told me what they were doing I said, I felt, I hope, you know what we are doing? Okay, you’ve done it before and I did not bring it back to the headquarters to do with some more due diligence and I kick myself and I think they blame for that. But, and that’s -- and as a company grows, you might see that. And then with the other ones, it's what I would call the scope gripping on the particular project and otherwise the contract must be tight enough for that particular customer then there will be some scope changes and at sometimes we take the fixed price contract where it ends up being on our side. And then the other thing that kept in -- and this is probably the fact that if you are not as busy, some of your construction managers don't close out the projects as fast as they would. So, the cost associated with those particular projects end up being more than what they with other guys get then. Otherwise if you were busy, they will go to some other project and then they will close them out. So, we did not see the pick-ups, and we will anticipate between $2 million to $3 million of pick-ups and that didn't happen. And that's effected the bottom-line.
Craig Irwin - Wedbush Securities: Thank you. My last question George, as a large shareholder yourself, obviously I'm sure you are disappointed with the recent results and the short-term outlook. But you’ve clearly chosen to preserve the capacity to execute on your larger backlog. Can you explain to us really what keeps you optimistic about the opportunity to execute on your pipeline? And what you would look for as indicators that this is starting to break that the dam is broken and maybe we'll start seeing the revenue inflection upwards that we've been waiting for the past couple of years?
George Sakellaris: Moving the contracts, we have over $900 million of awarded contracts. I like to see about half of that move let's say within a year. And then if that can happen before -- right now like the smaller contract is signed in the region they begin to turn between 6 to 12 months. If I start seeing that only larger contracts that runs between $10 million $20 million and to $30 million and for the volume of the business that we are in, you will need those to turn then I will say that the inflection point because that just happened. The activity level of the federal government is very, very high. If that’s beginning to move to the executed contracts then I will say that market it gets come back. But in the long-term, you said on the largest -- I still believe in the business. And I think I firmly believe that the business fundamentals are still there and it’s only matter of time and I have seen it before, it’s only matter of time before this we will turn and that the value will be realized that’s associated with this particular business.
Craig Irwin - Wedbush Securities: Thanks again for taking my questions.
George Sakellaris: Thank you.
Operator: Thank you. And your next question comes from Jim Giannakouros with Oppenheimer & Company. Please proceed.
Jim Giannakouros - Oppenheimer & Company: [Technical Difficulty] assumption implied in your guidance that $160 million to $185 million in your assumption in revenues for 2014, can you share with us any kind of granularity on how you envision that playing out? How much of it is already converted given that we are (inaudible) into the year and how much is short cycle or smaller projects and I guess maybe how much is just early project revenue recognition on things that are going to convert mid-year? Any color would be appreciated.
George Sakellaris: We see some traction in some contracts that are beginning to turn, otherwise move from the awarded category to the executed category over the last couple of months. So, we are -- like I said, confident that the $160 million to $185 million number will be realistic. But on the other hand I would say that the first quarter is going to be very challenging where we are. And that’s why I said in my remarks it will be heavily weighted in the third and the fourth quarters of our revenues. And generally we do not provide any guidance, but I think because we are where we are right now if I were to give some kind of a number out there for the first quarter, it looks like we will be in the range of $90 million to $95 million with some kind of a loss.
Jim Giannakouros - Oppenheimer & Company: All right. That’s appreciated. Thank you, George. And you mentioned that Federal is growing a little bit; can you get a little granular as far as where you’re seeing the opportunity, where you’re seeing the growth? Is it that you are maybe gaining a little share or is it that just overall, the agencies are moving forward with awards or even contracting awarded backlog? And I guess marry that with what you are seeing in [niche] markets, pockets of strength and/or weakness?
George Sakellaris: No, I think we are seeing some activity in the Federal space. There was a large project that converted in the fourth quarter of 2013. We are seeing some activity in early part of 2014. So, there seems to be more activity in terms of getting the projects that have been in our pipeline for a number of quarters getting them converted into contracts. And then more broadly we are starting to see more activity with respect to the Federal space. So, we are seeing some early positive signs, but again being cautious as we look ahead. And you saw the big award, the $21 billion that we got the (inaudible). So the Federal Group is moving. And we have seen some recent successes where they move contracts from the awarded to the executed. The other one, the central region is doing very well especially on the smaller projects.
Jim Giannakouros - Oppenheimer & Company: Understood. And one last I guess follow-up or maybe it’s the same question that Craig asked earlier on. Just trying to get a sense and trying to tap into your experience with the industry, George. What has to happen to get to a normalized backdrop for the ESPC market to kind of get to a place where we can have visibility into a sustained revenue ramp for Ameresco and the industry? If you can give us a historical perspective of what in the past has kind of prompted that and driven a cycle up that may happen again or why this time it’s so different?
George Sakellaris: This time it’s so different because of what -- at the end of the day, the way we offer our product is [debt] that grows on the customer balance sheet, one way or another. And since we have the debt filling interest in the market that we are working especially with the federal government it became a concern to just about every customer that we talk to, they say yes, I understand, it gets paid down on the savings and so on and so forth, however, and I may need this to get to this energy infrastructure upgrade, but it still [goes] on my balance sheet. So until that perception or that reluctance or what I can say, people don’t feel comfortable taking on additional debt until that goes away, I think you will see some delay in the marketplace. And that’s why I said before, we have to learn to or design the company to be able to sustain something like that. So before we had less than 12 months turnover on the projects, and now we are talking 16 plus months. And that’s the long time. So if that’s the way it’s going to be, diversification of the customer mix I think is extremely important for us going forward. I mean I would love to see that there is a C&I business be 20% of our mix. And that’s something that we are driving for and hoping to accomplish over the next few years.
Jim Giannakouros - Oppenheimer & Company: Understood. Thank you.
George Sakellaris: And the other thing that we did and that’s why I said measures we have taken to improve efficiency in the corporations over the last few months so we could make some tough decisions. And we took some of the expenses down. And you will see that we will take on this quarter and probably [neutralize] some of the reductions as we have to make such. So going back to [crack], it says I preserve the capacity; I did, but not all of it, to grow.
Operator: Thank you, ladies and gentlemen. (Operator Instructions). Your next question comes from the line of John Quealy with Canaccord Genuity. Please proceed.
John Quealy - Canaccord Genuity: Hi, good morning folks. Three main questions.
George Sakellaris: Hi.
John Quealy - Canaccord Genuity: Hi George. Three main questions, first just on the numbers, so we can harmonize these models. Can you give us Q4 revenue under the old reporting regime of energy efficiency and renewable energy, just so we can see what was what?
George Sakellaris: Andrew can address that.
Andrew Spence: Yes. For the quarter -- just hang on a second, John.
John Quealy - Canaccord Genuity: Okay.
Andrew Spence: Okay. Here we go. Energy efficiency is $105,567,000.
John Quealy - Canaccord Genuity: Yes.
Andrew Spence: And renewable energy was $70,567,000.
John Quealy - Canaccord Genuity: Okay. And then just in terms of timing, why do you this now in Q4, why not just do it in Q1 with the new segments and methodology, what was the thought process there?
Andrew Spence: It really -- the way the segments are derived and the way we presented really evolves out of the way we actually managed the business. And so, we thought that for the year reporting, that was the right time to make this change and put everything on the same -- try to get everything kicking off next year with the way we have been currently managing the business.
John Quealy - Canaccord Genuity: Okay. So, number two, on the small scale infrastructure, with this new segment, is this all the concession assets that Ameresco has is in this bucket or not?
Andrew Spence: Yes. Should be all of the assets…
George Sakellaris: All of the assets we have.
Andrew Spence: That we own and operate, yes.
John Quealy - Canaccord Genuity: Okay. Can you talk about just in terms of an EBITDA profile for that line in particular? It should be a fairly steady contributor to cash flow, as well as any related debt to that just so we can kind of look at what that entity is within the company?
Andrew Spence: Yes. It should be a fairly steady contributor. We will see some growth in 2014, as I mentioned because we’ve got a number of new projects coming on line. But that’s one of the businesses where we kind of focused on as being an annuity based revenue provider, not subject to the seasonality that we see with other business units. We should also see, because of the high depreciation, we should see some fairly strong operating margins, EBITDA margins compared to some of the other business units.
John Quealy - Canaccord Genuity: Again just trying to frame this, so if it’s a $40 million plus business per year in revenues, is it reasonable to say that this is around a 50% EBITDA type business?
Andrew Spence: I would say that that’s a little bit high, maybe…
John Quealy - Canaccord Genuity: Am I way off or am I close?
Andrew Spence: About 40%.
John Quealy - Canaccord Genuity: Okay. That’s fine. And then related debt Andrew for that, what would be the enterprise value if you were to spin that off?
Andrew Spence: I don’t -- I’ve got in my prepared comments. We’ve got about $80 million connected with those projects right now.
John Quealy - Canaccord Genuity: Okay. That’s fine. And I appreciate the color you are giving us. My point is, I know there has been talk and we’ve talked on the call before about looking at Ameresco in a different structure whether that’s a REIT or yield co. George, can you give us an update on what you and the Board are feeling? Clearly the current model -- I mean it’s gone nowhere for a couple of years and it looks like it’s kind of stuck in ‘14, but what about unlocking value for the enterprise? Can you just give us an update about what you and the Board have discussed for the past couple of months?
George Sakellaris: We discussed and we talked about the yield co and maybe even if we had another opportunity to redeploy the amount of money that we will raise say with acquisition that we replace the EBITDA and hopefully grow it faster, we would do that, or if we find an opportunity, then selling one or two or three assets, as long as we have something to replace it with. As far as yield co, we are not big enough yet. And I have talked to couple of the financial institutions and they said -- and they gave us the certain size that we have to be in order to be able to do that. And we talked about maybe we take apartments and then we put these assets with a particular partner, but nothing concrete yet. But I look at it this way, if we -- it’s an asset, I know we are not getting paid on the seasoned price of the stock, but it’s going to create value, someday we will find a way to accept it.
John Quealy - Canaccord Genuity: Okay. And then lastly George, for M&A you guys have been very nimble, very cost centric in purchasing assets, the stock market is very inflated, I imagine some potential M&A multiples are inflated. Can you just talk about what you are seeing for potential M&A and what your characterization of multiple and opportunity is? Thanks.
George Sakellaris: Yes. Then I will tell you, we lose many more than we ever buy because of that we are very, very disciplined on the price that we will pay for an acquisition. It has to be, I wouldn’t say strategic, it has to fit in a geographic footprint expansion or in our product offering like some of these software acquisitions that we made that I think they have given some traction and some C&I customers. And we feel very good about that. And we will try to expand that particular strategy as we go forward. But, and then at the end of the day, those acquisitions, they have good price and be accretive. And I agree with you that the market is little bit inflated out there. But because of knowing the play is out in the industry, sometimes we do get some pretty good deals, because people want to team up with us and grow. So we’re going to continue being extremely -- we don’t want it gets carried away and pay too much money for anything.
John Quealy - Canaccord Genuity: All right, thanks guys.
Operator: Thank you. I would now like to turn the call over to George Sakellaris for closing remarks.
George Sakellaris: And with that, I do like to thank you all for joining us at today’s call. And we will talk to you next time. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.